Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Peabody Q2 2017 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to our host Mr. Vic Svec, Senior VP of Global Investors and Corporate Relations. Please go ahead, sir.
Vic Svec: Okay. Thank you, and good morning, everyone. We welcome you to the quarterly conference call for BTU. With us today are President and CEO Glenn Kellow; and Executive Vice President and CFO, Amy Schwetz. As a supplement to our call today, we have prepared a brief presentation that's available on our website at peabodyenergy.com. On Slide 2, of this deck you will find our forward-looking information. We encourage you to consider the risk factors referenced here along with our public filings and furnishings with the SEC. I would also note, we use both GAAP and non-GAAP measures and we refer you to our reconciliation of those measures in our documents. And with that, I'll now turn the call over to Glenn Kellow.
Glenn Kellow: Thanks, Vic, and good morning, everyone. At Peabody, we've had both a very active and a very productive quarter. Simply put, we believe there is a lot to like about what we will talk about today. You'll recall in May, we identified a robust agenda of priorities for the second quarter. I am pleased to report we have made significant progress on all fronts. Let me begin at the highest level on Slide 3, what I considered to be a very solid set of accomplishment. First, we have long talked about the strength of our diversified portfolio. These benefits were fully demonstrated this quarter with substantial contributions at both our U.S. and Australian segments. Our mining results were led by our Australian thermal segment, which rose to be the top performer in total adjusted EBITDA and generated record margins of 44% during the quarter. We have repeatedly said our Australian thermal segment might not get the attention it deserved and we suspect for the results like this it will be difficult to ignore. Next, we pledged to formalize our debt reduction targets and shareholder return initiatives in the second quarter. We have completed this process and have already made progress on our new targets in recent days by voluntarily paying down $150 million of our term loan. We look to continue this momentum by targeting a total of $500 million in debt reduction over the next 18 months. Amy will discuss the benefits to shareholders of deleveraging, but we are not stopping there. The Board of Directors has authorized $500 million share repurchase program effective immediately in recognition of the good long-term value that we believe BTU represents and the tangible benefits of the buyback program to our shareholders. In regard to our 2017 guidance ranges, we are largely maintaining our very positive 2017 targets outlined last quarter, and Amy will touch on this shortly. Now last quarter, we also said we would revisit our long-term met portfolio for opportunities, given recent changes in met coal pricing. As part of our strategic review process, we are pleased to report they are extending the life of our Moorvale Mine which will allow us to deliver additional 1.5 million tons of metallurgical coal production in 2021. We believe our met coal business is a key part of our diversified portfolio and we will continue to evaluate our mine plans to enhance our overall business over time. I leave you with one additional positive note from our team's lively actions in the quarter. The Company has now completed our post-emergence tax planning and we can report more than $4 billion in net operating loss carryforwards available in the U.S. These NOLs combined with our already sizeable Australian NOL position, significantly improved our expected cash tax position moving forward as we expect modest annual cash tax outlays related to taxes for quite some time. That's a quick review of a number of initiatives, the combined effect that which is to make a very good Company even stronger for our shareholders. Now to review our performance in more detail, let me hand the call over to Amy Schwetz.
Amy Schwetz: Thanks Glenn. So let's now turn to Slide 4, where we have highlighted key performance metrics for the second quarter. In some ways, it's hard to believe that we only emerged at the beginning of last quarter and that means Peabody adopted fresh start reporting as of April 1, 2017. Consistent with fresh start rules Peabody revalued it balance sheet in line with its planned value determined during the Chapter 11 process. As a result, certain financial statement items are not comparable to prior periods. As our operations were largely unaffected by the Chapter 11 process, segment revenues and operating results are generally comparable to prior periods. From a format perspective, when looking at our financials, operational results for the quarter are recorded on the successor financial statements, with the impact of emergence recorded in the predecessor results, which includes a loss on the reorganization and related tax impacts. While we are covering procedural items, our preferred shares as well as previously reported common stock were registered in July. As a result, we now have $101.2 million common shares outstanding and $18.4 million preference shares, which on an as converted basis together with our common share outstanding totaled $137.3 million common shares. This excludes approximately 3.5 million shares associated with that management and employee incentive plans which best over three years. Turning to the quarterly results, revenues came in strong at $1.26 billion, reflecting an increase of $218 million over the second quarter of 2016. Income from continuing operations net of income taxes totaled $101 million for the quarter and included positive contributions from equity affiliates of $60 million primarily related to the Middlemount met coal mine joint venture in Queensland. As you may recall, sales volumes and operational results for Middlemount are not included in Australia's operational results, but represent more than 2 million tons of additional met coal exposure to Peabody. Regarding the difference in net income and net loss attributable to common shareholders, approximately 39% of preferred stockholders converted their shares to common during the quarter. Accelerating the non-cash dividends that otherwise would have been payable over a three-year period. As a result preferred dividends during the quarter totaled $115 million. I'll note that until preferred shares are fully converted, you can expect to see some periodic impact to EPS on any future conversions that are difficult to model. Moving on, adjusted EBITDA for the quarter totaled $318 million reflecting an increase of $245 million over the second quarter of last year. While the Company realized $28 million in break fees received from contemplated transactions not completed these fees are excluded from adjusted EBITDA. Moving on to Slide 5, let's look at additional detail at the segment level. On the pie chart to the left, you'll see that Australia surpassed U.S. mining contributions with adjusted EBITDA of $178 million. While the Australian metallurgical coal segment represents a greatest improvement in adjusted EBITDA compared to 2016, I'd like to note that our Australian thermal segment was the largest overall adjusted EBITDA this quarter. We have sometimes characterized our Australian thermal platform as more of a singles or doubles portion of our business given the proven track record of making money in our pricing environments. That said, with gross margins of 44% in the second quarter, I think we can consider this segment to be a home run. Overall, Australian adjusted EBITDA rose $182 million from the prior year on significant improvements in seaborne pricing despite the impacts associated with Cyclone Debbie. Diving a bit deeper, as expected Australian sales volumes were down 25% over the prior year primarily as a result of rail disruptions caused by Cyclone Debbie in late March, impacting adjusted EBITDA by approximately $40 million to $50 million. This was not surprising given the rails weren't running at all throughout April and only ran limited trains through May. Realized revenues per ton were 41% and 114% for the thermal and met coal operations respectively from the prior year. Australian revenues benefited from stronger seaborne prices and reflect approximately 86% of metallurgical volumes sold under quarterly contracts as a team prioritized delivery on contracted volumes over spot sales. Of the contracted volumes about 20% were higher price carryover tons from the first quarter. Thermal coal operating costs of $28.67 per ton remain in line with the second quarter of 2017 anchored by our low cost premier Wilpinjong Mine. Met coal operating cost increased 34%, primarily due to expected lower sales volumes of two million tons for the quarter. Even though met coal sales volumes were impacted by rail issues related to the cyclone, production volumes remained solid at $2.8 million tons leading to an inventory build. As a result, we saw an improvement in production cost compared to the first quarter. This improvement together with higher production volumes and elevated inventory levels have paved the way for increased sales and lower cost per ton in the second half of the year. Operationally, the second quarter mark the best six months of production over the past five years that the North Goonyella mine and the Metropolitan mine is now through it extended long-haul move that resulted in limited production last quarter. So let's now turn to the Americas, where the word reliability applies as much to the business units contributions as it does for the coal it provides for affordable electricity. U.S. adjusted EBITDA increased approximately $14 million from the prior year to $176.2. U.S. revenues rose 13% driven by increased volumes on higher natural gas prices. Powder River Basin volumes rose 6.1 million tons as we shipped reserve contracts largely signed in prior years along with requirements agreements and customer optionality given a sharply higher coal burn. U.S. cost per ton remain relatively stable with the prior period leading to an average gross margin of 26% for the U.S. operations. I might pause there for emphasis that we've noted for some time now that the new Peabody isn't about volumes, but about margins and return. Based on early analysis Peabody Powder River Basin margins of 23% once again top the competition and that's the kind of leadership we look to continue in order to create superior shareholder value. Turning now to our cash profile on Slide 6, Peabody ended the quarter with a strong cash position of $1.1 billion, reflecting an increase of $28 million from March 31. Operating cash flow totaled $91 million for the quarter related to successor results. While the operations generated strong adjusted EBITDA during the quarter, cash flow was impacted by the working capital build and a heavy dose of Chapter 11 exit costs. Both of which were flagged the last quarter. Metallurgical sales volumes were predictably backend loaded with $1.3 million tons sold in June driving accounts receivable higher. Together inventory and accounts receivable balances increased approximately $150 million. We believe we are well-positioned to convert the coal on the ground into realized cash in coming months. As expected Peabody paid approximately 180 million in Chapter 11 exit costs, settlements related to the Company's emergence during the quarter and financing fees associated with the Company exit financing. In the back half of the year Peabody expects to use approximately $175 million of cash for the remainder of these payments. Partially offsetting this, I'm pleased to note that we have made progress on bringing up cash collateral with $113 million of cash return during the quarter, which contributed to an increased operating cash flow and brings the total restricted cash balance down 17% to approximately $562 million as of June 30. Peabody continues to focus on reducing cash collateral in support of its reclamation obligations and we've begun work with brokers to identify surety solutions in Australia. Turning to Slide 7, last quarter we told you we would be outlining our financial priorities. And I'm pleased to walk you through the components of this approach. These priorities are focused on liquidity, deleveraging and shareholder returns and they take into account broad discussions with investors, bondholders and advisors over a number of months. First, we are targeting a liquidity level of approximately $800 million, which takes into consideration the variability of coal pricing and cash flows and our ability to sustain cyclical down draft. While our U.S. portfolio has revenue visibility that extends up to several years and can accommodate reasonable that level. Our Australian platform has a higher inherent volatility of earnings. Australia represents very good returns over time that can reduce our preferred level of debt relative to those cash flows. Each of these factors has led us to conclude that $800 million is currently an appropriate liquidity level for the business. We also recognize the fact that cash is currently our primary source of liquidity. We intend to pursue the addition of our revolving credit facility to reduce cash requirements, but we realize this may take some time to come together. Secondly, we have outlined debt targets that reflect our overall commitment to ensuring a more sustainable capital structure across all cycles. For a company of our size and scale, we believe that some debt on our balance sheet makes sense and we will continue to utilize the cheapest form of capital available to us within our financial guidelines. As a result, we have evolved towards an aggregate debt target. Based on our expected cash generation, we are now targeting gross debt of $1.2 billion to $1.4 billion. And that leads us to our debt reduction targets. By year end 2017, we are targeting $300 million in deleveraging and within 18 months we planned to reduce our debt levels by a total of $500 million. As Glenn noted, we have already made progress towards our deleveraging goals by voluntarily repaying $150 million of our term loan in July. At these levels, we review deleveraging as a benefit to shareholders and an essential part of our approach to accomplish several goals. First, deleveraging moderates our risk profile. It also lowers our interest expense and transfers enterprise value from debt to equity. In addition and importantly an improved balance sheet provides the potential to free up restricted cash that is currently used for collateral. The final piece of our financial approach is our return of capital to shareholders. Our Board of Directors has authorized a $500 million share repurchase program effective immediately, as we believe share repurchases provide a good long-term value for our shareholders. And while we currently have some restrictions in the amount of cash available for shareholder returns imposed by certain debt and equity instruments, there are means in which we can return cash to shareholders as early as this year and we intend to do just that. We will continue to assess additional ways to increase our flexibility for shareholder returns. We acknowledge that in certain scenarios we may have more capital to deploy, which could be the basis for our regular dividend as another avenue to provide tangible returns to shareholders and as a means to broaden our shareholder base. Our Board of Directors will regularly evaluate a sustainable dividend program which we are targeting to begin in the first quarter of 2018. Before turning the call back to Glenn, I'd like to highlight a few items with regard to our 2017 guidance. By and large we have reiterated our 2017 targets in all material respects. We tightened up our U.S. sales volume range and would expect to be at the upper end of the PRB volume guidance. While we are maintaining our Australian export volumes for both met and thermal, we would expect to be at the lower end of our range for met volumes if there is any further slippage in rail performance. We are also now expecting slightly lower Australian domestic thermal coal sales. Many of you will recall that domestic thermal volumes in Australia are lower margin, so the decline may free up volume for export. We have reduced both our U.S. cost per ton and revenue per ton guidance ranges driven by a mix of higher PRB volumes. I'd like to point out that while we have reiterated our Australia cost per ton guidance, we would expect to be at the higher end of that range on met cost. We anticipate higher met coal sales volumes in the second half of 2017 which will drive lower costs for ton across the platform. I'll also highlight that this quarter we've included our full-year 2017 seaborne thermal price position with approximately 10 million tons sold at an average price of $67.20, leaving an incremental 3 million to 4 million tons to be priced in a currently favorable environment. We are also lowering our quarterly interest expenses range to $39 million to $41 million based on our voluntary term loan payment made in July. One other item I'd like to note is that we now expect 2018 U.S. sales volumes to be in line with 2017 in light of current industry conditions and natural gas prices. Glenn will now cover current industry fundamentals and our near-term priorities beginning on Slide 8.
Glenn Kellow: Thanks Amy. Turning to industry highlights now starting with the U.S. we continue to see the strong interplay between coal and natural gas through June. With coal generation increasing some 6% over the prior year as natural gas decline 14% due to higher processing levels. Coal has now overtaking gas regarding it places the number one fuel source the U.S. electricity generation. The Powder River Basin strongly completes in $3 gas environment and was a great beneficiary during this period with demand increasingly nearly 25 million tons through the first six months of the year compare to the prior year. While we typically do not see stockpile [drills] during the shoulder season, PRB utility inventories decline 12 days from 2016 levels to approximately 57 days of maximum burn during the quarter. While we project approximately 15 million tons of reduce demand due to coal plant retirements during 2017. We can see that this explain more than offset by higher capacity utilization but, the remaining coal fuel generating plants. For full-year 2017 we continue to expect U.S. coal demand for electricity generation surrounds on 30 million to 40 million tons compared to 2016 levels. In regards, the policy we continue to see positive actions from the new administration in Congress and support of coal mining and coal fuel generation including the steps that could premature retirements of the base flow generating fleet. In the case of the Navajo generating station in Arizona, the lease has been amended to ensure the plant will run through 2019. We encourage by - we take the plan online and continue working with stakeholders to what the transition to allow for operations well beyond this timeframe. On Slide 9, within the global front we continue to see strong seaborne and metallurgical and thermal coal demand in the second quarter largely driven by China. Overall China has exceeded our expectations for the year. In terms of economic growth, steel consumption and electricity generation thus far. The level two reaching record levels. As a result through June seaborne and metallurgical coal and thermal coal imports were up 33% and 20% respectively over the prior year. Recently we have seen the Chinese government announcement import restrictions and taking of customs clearance in the second tier ports, which is primarily impacted lower quality Indonesian coals. This follows other actions intended the China is domestic coal industry and support pricing including initiatives to improved mine safety, rationalize excess capacity and target processing bands to both metallurgical and thermal coal. In terms of pricing we still volatile moves in seaborne and metallurgical coal during the second quarter inside of - outside by Cyclone Debbie. Prices range from higher more than $300 per tons to level of approximately $139 per ton before covering to appropriately $175 per ton level in recent weeks. In addition, we shift from traditional settlement negotiations for benchmark hard coking coal pricing to index by system, which was established on a three month average of $194 per ton. At this point, we are expecting this processing mechanism be in place going forward I believed in the short-term. The segment of the business that is very close to supply and demand balance we believe this potentially brings greater volatility to both long and short-term pricing. However, PCI remains on the benchmark system and during the second quarter, Peabody set the low-vol PCI benchmark at a $135 per ton and just recently the third quarter benchmark price was established at $115 per ton well above 2016 pricing levels. In seaborne thermal coal the annual settlement beginning on the Japanese fiscal year was said at $85 per ton, the 37% improvement from the prior year settlement. I'll conclude today with our near-term focus areas on Slide 10. We expect to increase both Australian thermal and metallurgical coal shipments relative to the second quarter. Our second quarter thermal volumes we are not impacted by Cyclone Debbie. Whether did result in lower shipments, and logistics issues from major domestic customer, which for the exports we expect to recover in the third quarter. As we continue to see rail performance to improve following Cyclone Debbie, we expect metallurgical coal volumes to rebound in the third quarter, and in turn result in lower cost per ton for the segment as Amy outlined, putting us within our guidance ranges, which we have focused on delivering. And as is to be expected, we will continue to evaluate and execute on our deleveraging shareholder return initiatives by generating cash, reducing debt, investing wisely, and returning net cash to shareholders. So that concludes our formal remarks regarding a very active and productive quarter. At this time, we'd be happy to take your questions.
Operator: Thank you. [Operator Instructions] We will go to Mark Levin with Seaport Global. Please go ahead.
Mark Levin: Congratulations everyone on a terrific quarter. A couple of quick questions, one as it pertains to the buyback I know there are some restrictions. My understanding is that you could buy back as much as $50 million of stock in 2017 and then in 2018. The builder basket starts to take effect where you might be able to buyback more and certainly pay dividends. But my question is this, is there the ability with which or are you in the process of trying to secure an amendment whereby some of these restrictions could be removed and free you up to buy back stock without some of these restrictions? Thanks.
Amy Schwetz: Yes, Mark, this is Amy. And I think that our plan is to start immediately within the confines of our credit agreement in delivering on the capital allocation programs that we've outlined. That being said, we're not going to let our debt documents restrict us in terms of what we can do. So as we move forward, we will look at what the opportunities are to either amend or refinance if we feel that they're restricting our progress.
Mark Levin: Got it, that makes sense. And then I think you referenced and I want to make sure that I understood it correctly when you were talking about production in 2018 with regard to U.S. domestic utilities production. I feel like I heard you guys mentioning that at this point that production you wouldn't anticipate increase in U.S. on utility production in 2018. Did I hear that right or not hear that right?
Glenn Kellow: You did hear that right. So at this point we're indicating that we would expect similar sales levels in 2018 versus 2017.
Mark Levin: Got it, that's great. And then with regard to sort of the 8,800 split, you guys produced a lot more of the higher quality lower cost north NOL per shale product, but do you have a little bit of 8,400 coal. Can you talk about the price differentials that exist there and how that might impact? How you see the 8,400 market going forward?
Glenn Kellow: I really want to talk about necessarily pricing differentials, but I will talk about our overall strategy in the PRB, which I think is a little bit different. As you know, we have three mines in the region and we do really look at that region as a complex as a whole. So I know that some folks talk about - with their activities they talk about particular products or particular mines. We have certain flexibility across that complex with respect to a range of products. And we actually move people, equipment and sometimes even contracts to suit the particular land and make the customer requirements to achieve the best margin outcomes as Amy just described overall. So I never really want to get into the 8,400 versus 8,800, I think our flexibility and optionality and we have over 12 active pits in the PRB really does enable us to deliver and focus on meeting customer requirements, customer qualities specifications, but at the same time ensure that we're focused on delivering on margins through that strategy.
Mark Levin: That makes perfect sense. And then one last question for me, when we think about modeling met coal realizations in Q3. I know there's been a lot of change in the market in terms of how met coal is being priced, some quarterly, some not, some index, some not, how would you advise us to think about modeling Q3 met coal? Is it looking at the Platts benchmark or the premium low-vol, and the low-vol PCI and taking in average and some discount. How would you approach that going forward? Thank you.
Amy Schwetz: So if you look at our - I think classes one of that three resources that is being used to establish that indexed average and that indexed average applied to the hard coking coal products that are out there. It is not correspond to PCI, so PCI is still on a benchmark system and that standard pricing still is relevant for that. So overall, we view ourselves as about 50/50 contract and spot. And I would note that we've got probably a 0.5 million tons of carryover from Q2 to Q3 on the pricing, although, I'll tell you in this quarter it's not nearly as large of delta as what we saw between Q1 and Q2.
Operator: Thank you. And next we'll go to Jeremy Sussman with Clarksons. Please go ahead.
Jeremy Sussman: Yes, congratulations on a very nice quarter and thanks for taking the question.
Glenn Kellow: Thanks Jeremy.
Amy Schwetz: Thanks Jeremy.
Jeremy Sussman: So you decided to go ahead with the Moorvale extension. And I guess, obviously, it doesn't affect this year, but your guidance this year is for 11 million to 12 million tons of met coal production. And I know you had previously planned on sort of having met coal fall into the upper single-digit range a few years out. So if we think about kind of the actions you've taken, can we safely assume sort of Peabody in that double-digit annual production range at least for the foreseeable future on coking coal?
Glenn Kellow: I think what we talked about and are now discussed back over a year now when we were offsetting on the business planning process as part of the restructuring is that we did look at the Moorvale mine life finalizing over the end of that five-year plan period. What we have been able to do is part of our annual mine planning process is take another look at - taking at least one further cut based on our cost performance than our productivity performance. I think as we've talked about, we try and run that as a complex now with Coppabella, and I think that in a number of other initiatives have enabled us to be able to take that extra cut. That's going to give us probably up to two additional years of production at Moorvale versus what we have previously contemplating. But I wouldn't want to commit or give further guidance above that at this point, obviously it's a regular process for us, it's an annual prices in terms of our mine planning, but rest assure the swing will be - ensuring that we try and do everything we can around that mine planning process.
Jeremy Sussman: No, that's super helpful. And then maybe just on another note, obviously, a lot of moving parts from a cash standpoint this quarter. So maybe just trying to get a sense of normalized cash generation. So if you kind of back out unusual items like inventory build, active financing fees, et cetera, can you kind of give us a normalized free cash flow bridge this quarter?
Amy Schwetz: Yes, I think you pointed out some of the big moving parts in terms of both the exit cost which we certainly saw and loaded toward this quarter and we'll see the remainder of those cost come out on a little bit more of a ratable note. We certainly worked to manage our working capital quite efficiently, so the type of working capital build that we saw in this quarter is a bit of an aberration and is one that we are very focused on converting those assets into cash in the upcoming months. A couple of other items that I'll just note that need to be factored into the third quarter in particular, as we do make our interest payments in the third quarter of the year, so that will impact our third quarter cash flows, but overall I think you've picked up on two of the key components that we've talked about. We're going to continue to report regularly with respect to our progress in terms of freeing up cash collateral, but this certainly was a big quarter in that respect as that restricted cash that we had in short-term assets on the balance sheet in March 31 has largely now converted and the cash available for our use. So I would suspect that as we look at tackling that $560 million of cash that we have restricted on the balance sheet that we've now drawn out. And on the balance sheet itself and that the return of that cash will be a little bit lumpier to use the technical term and then what we might have seen and this quarter with the return at that shorter-term cash collateral.
Jeremy Sussman: Thanks Amy. Just last one at least with that $560 million or so of restricted cash that you still have after freeing up the $113 million or so. Can you give us a rough timeline of maybe the pace that you look to free it up? I know the answer sooner rather than later, but just trying to get at general sense?
Amy Schwetz: Well, I think the actions - you're right about the actions occurring sooner rather than later and I'm hesitant to put an exact timeline. But let me tell you a little bit what we're doing. And first and foremost we're working with sureties as it relates to our Australian platform to try and provide an alternative form of financial assurance to the cash study with the state government. I do view that as somewhat of an interim step as we move forward. Secondly, we continue to highlight our improved financial position to the sureties that we work with in the U.S. to try and continually chip away at that collateral that's being provided in support of those - of that bonding solution. And then last, we are looking and starting to have discussions with financial institutions around what needs to happen for financial revolver to put in place that has colored the way we think about our financial allocation as well in terms of in terms of trying to create a capital structure that will give us access to a different form and different area of the capital markets going forward and that is something that will be working to execute over the course of the next 12 months.
Jeremy Sussman: Appreciate the color. Thanks very much.
Operator: Thank you. And next we will go to Lucas Pipes with FBR. Please go ahead.
Lucas Pipes: Yes, good morning, everybody. I have a quick follow-up question, Amy on the restricted cash, specifically the $113 million that you were able to unrestrict during the second quarter. What exactly - where was that in the U.S. or Australia? I think you may have mentioned it, but I wanted to double-check? Thank you.
Amy Schwetz: Your answer is actually both. We had a customer deposit in place in Australia that was returned shortly after emergence and then we also had some cash deployed in support of our AR securitization facility. And as we as emerge, when we convert it to a larger different AR securitization facility, we were able to relieve about $70 million of collateral that was supporting that facility.
Lucas Pipes: That's helpful. And then I noticed that the restricted cash buckets, so to say, and its total amount, high $500 million range, that didn't change all that much. So can you walk me through what happened there during the quarter?
Amy Schwetz: I think you're right and saying not a whole lot during the quarter that is those long-term collateral basis in place primarily for our sureties that support both workers compensation and reclamation bonding in the U.S. as well as the government collateral that we haven't placed in Australia. So the movement that you would have seen in those buckets would be the results of any sort of minor modifications that we would have in collateral levels or change in insures over that period of time. It is in long-term, because we expect it to be a bit more stable in terms of fluctuation back in forth that obviously doesn't change and I guess I would say this. How hard that we're working to try and get that back, but we're going to need more of a long-term solution to get back as I outlined previously.
Lucas Pipes: That's helpful. Thank you. And then lastly, you're really great with giving color on these accounting items. And I wanted to touch based on the $67 million of coal inventory revaluation. Could you give me a flavor of how exactly that worked through - that flowed through the income statement during the second quarter and what the impact was, if any to the costs that you reported with the various segments? Thank you.
Amy Schwetz: Sure, no impact for the cost that we've reported in the various segments. First, start accounting is almost as if you're performing purchase accounting, which we all might be a little bit more familiar with than - but your perform purchase accounting on the entire balance sheet. So as we look at the inventory balances that were in place at March 31, those needed to be revalued to fair value, so essentially there was - if we had not made the adjustment that we made to EBITDA we would have had zero margins on those tons. So from a non-GAAP we did add back and that component a fresh start to provide comparability between the periods. Now I will say partially offsetting that inventory adjustment, which will be one-time to our reconciliation at least in the scale of which it was. Is a deduct from EBITDA that will be with us some time as well, which is the take or pay obligations that we have out of Australia that that were established as a liability in purchase accounting and that was about $10 million this quarter and we intend to exclude that from EBITDA going forward as we're still making cash payments on that. So those who use EBITDA as an indication of cash flow would want that excluded.
Lucas Pipes: Got it. But just on the inventory side, was that a write-down of inventory? Or did I misunderstand that?
Amy Schwetz: It would have been a write up of the inventory for fair value.
Lucas Pipes: Got it. Okay that's great. Thank you.
Operator: Thank you. And next we will go to John Bridges with JPMorgan. Please go ahead.
John Bridges: Good morning, Glenn and everybody. Congratulations on the results.
Glenn Kellow: Good morning, John. Thank you.
John Bridges: I was just wondering with the changes to the plan for the met coal. Is there going to have an impact on CapEx at Moorvale? And possibly, what's the plan at Metropolitan as well?
Glenn Kellow: The changes that we've indicated are just extension of the mine through taking another operational cap in the mine plan. So using existing capital, so no, I wouldn't expect any significant changes. I think we talk about the Metropolitan impact perhaps last quarter and we saw that is being within the guidance range in the range of if past five to 10 million but certainly be able to accommodate within the guidance targets that we have outlined.
John Bridges: Yes, I know you said before, there was a chance to sort of do some serious reinvestment in that place to get the cost down, I just wondered if what were the sort of…
Glenn Kellow: That's not included within our current mine plan, obviously between is one of the options we've considered is whether or not we could essentially the bottleneck through accessing the mine and alternative ways that's not within the current mine plan, no within the capital requirements as a result.
John Bridges: Okay great. And then Amy may be you given great clarity on these getting out to Chapter 11 payments, 175 for the rest of the year. How this between the quarters and how should we model that?
Amy Schwetz: So most of that will be coming through in 3Q. So I see it as sort - somewhat of a stair step as we go throughout the year with roughly you know 70% to 80% of the remainder occurring in the third quarter.
John Bridges: Okay. That's correct. Thanks again and well done on the results.
Amy Schwetz: Thank you very much John.
Operator: Thank you. And next we will go through Paul Forward with Stifel. Please go ahead.
Paul Forward: Good morning.
Glenn Kellow: Good morning, Paul.
Amy Schwetz: Good morning, Paul.
Paul Forward: I wanted to go back on the question on met coal volumes you had shipped 4.2 million in the first half of the year and I think Amy, you had said, think about the low end of guidance for the full-year out of Australia that would imply second half volumes around 6.8 million tons. So I just wanted to ask is that approximately are you shipping at that rate right now and or just the guidance imply some improvement from where we are now over the next few months to be able to reach that low end of guidance for the year on volumes?
Amy Schwetz: We actually ship a little bit above that level in the month of June. So as that real performance picked up and we have the coal on the ground and we were able to load those trains quickly and see great month in June and we don't have to duplicate that every month, but we need the rails to continue to perform sort of at capacity for that happen in one of the things that we've seen with respect to the repairs is that they can perform at capacity as they did in June, but there's just not a whole lot of flex that we might expect to see. So we think that we're ready to deliver and we've got coal on the ground and we're going to try every day to load trains out of those mines in Queensland. I would also point out that we had very low shipments out of metropolitan in the first half of the year, so we expect that to be additive and not dependent on the Goonyella coal chain going forward. So it's those drivers that are leading us to expect to see these higher volumes in the back half of the year, but we did feel it was appropriate to add that cautionary response with respect to infrastructure performance.
Paul Forward: Okay, great. Thanks. And just as a follow-up on that. There is a line in the - as you're talking about Moorvale in the press release and that's good to see that you're playing to extend, the life of that mine, there's a line about that you're continuing to evaluate opportunities that could lead to stable metallurgical coal volumes over time. There's a big difference between like the first half of 2017 rate and second half 2017 rate. When you think about the potential to go to stable metallurgical coal volumes, would that be relative to the approximately 11 million to 12 million tons that you're planning for this year or will that be more stable on the second half run rate which would be 13 plus?
Glenn Kellow: Well, the second half run rate, as Amy indicated, both have some buildup from production in the second quarter which due to Cyclone Debbie didn't rail through. So I think it is stable from the annual guidance ranges, but also adjusting for the fact that we had talked about Millennium reaching the end of its mine life, I've spoken about more of Moorvale. And those are also important noting that those rates - that those numbers don't include the 2 million tons of economic exposures that we have through our Middlemount joint venture as well just before the clarification. So as we look at the year and as we look at what a normal year would have been, it would be metropolitan up and running which you'll see through the third quarter in those stable shipments occurring, which we also expect in the third and fourth quarters, but without the benefit of the additional volumes and catch up from Q2.
Amy Schwetz: We strive to have a little bit more balance usage of working capital than what we saw in the second quarter.
Operator: Thank you. And next we'll go to Brett Levy with Loop Capital. Please go ahead.
Brett Levy: Hey, guys. Some bigger picture question. I mean in terms of - just if you are going to keep your cash or are you trying to bid around $1.4 billion, it gives you a lot of attitude thoughts about locking in longer term contracts in any of U.S. or Aussie or thermal or met or just kind of where you are thinking in terms of a locking in? And then the second question is, you guys could probably buy fairly levered U.S. coal assets, like Westmoreland or Cloud Peak, without actually putting - if you look at their equity market cap, without actually putting a significant dent in your cash. What are you thinking about in terms of again jurisdiction and then thermal versus met in terms of acquisitions if at all going forward?
Glenn Kellow: Well, maybe just answering the contract question before, I think it's probably more of a function of the market then necessarily specific actions from ourselves. Although, we do looking the U.S. to have extended contract positions, but we have seen some timing outside the average contracting that's going on in the U.S. at the moment would probably be in a three-year duration. And that's probably evolved downward over the last sort of three of four years. With respect to the M&A question, I think as we previously stated, we are focused on disciplined capital allocation framework is our key priorities which we sort of described as simple, but powerful cash flow from ongoing operations achieving and maintaining our debt levels and then in the short-term repurchasing those shares opportunistically. Like any other capital reinvested back in the business would be subject to a sharp focus on risk-adjusted returns and foreseeable payback periods. And you specifically asked about acquisitions. We would only for firstly, as we've outlined we have a strategy of putting in what we regard as doing the best market, Powder River Basin, the Illinois Basin and thermal production areas in Australia, which will be access those higher growth Asia-Pacific markets. Any filter with respect to reinvestment would be have to be considered in the things that I talked about balance sheet, high returns, and being able to really extract tangible synergies in going forward. So I really want to try to helpline very disciplined approach in the why that we would consider, a redeployment of capital back into the business. So I'm talking about adding value for shareholders, but I needs to be add shareholders, not all people.
Operator: Thank you. And next we will go to Amer Tiwana with Cowen and Company. Please go ahead.
Amer Tiwana: Hi, guys. Congratulations, good quarter.
Amy Schwetz: Thank you.
Amer Tiwana: The first question I have is around the thermal coal volumes in Australia. Is any export tonnage committed for a team and directionally if you can give us some ideas what demand or your volumes may be in 2018?
Amy Schwetz: So with respect to our prices position in 2018, we are not significantly price as it relates to that business. We have amount of about 2 million tons that are priced on the JFY, which runs April through March 31 of next year and that is primarily our price positions as it relates to 2018. We talk a lot about our thermal business about the stability about the strong margins of that business and frankly about the reserves that we have associated with that business going forward. So it is an area of the business where we expect to see relatively stable and volumes going forward and as we look to kind of maintain what we believe is that a premier position within that market.
Glenn Kellow: So we have about 56% of that business that is priced for the second payoff of 2017 and to derivable from the guidance we've given you can that prices are bit above what we have priced the first day of business for us as well just as a bit of additional color on that and obviously we're in a robust pricing environment currently there.
Amer Tiwana: Got it. Thank you. The second question I have is around met coal pricing dynamic. There's been a little bit of supply squeeze and demand has been perhaps a little bit stronger as well. Going forward can you talk about the fundamental picture or what do you expect over the course of the next six months? Is supply going to ramp and what do you see on the demand side, and how do you see the pricing evolve?
Glenn Kellow: I think with respect to demand, it has been a little bit stronger as we've indicated. China has outperformed on a couple of fronts versus whatever expectation, but it has been part as you indicated also been a story of that supply. The industry is gone through relatively benign period up until the fourth quarter of last year with respect to supply disruptions. But then we've seen a range of factors affecting the supply side, response, geological conditions, industrial action, there is some gas issues going on at a particular major producer. So we had Cyclone Debbie and the weather events occurring in Australia, which we've talked about that have affected us. I think we probably are seeing industrial action as well, either occurring or being threatened that has impacted supply factors over the last sort of six to nine months versus the last year. It's a little bit difficult given all of those factors I've talked about to be exactly calling how supply will respond. Although, we have seeing as I'm sure we're aware probably swing producers coming to the markets to meet those needs. Although we have seen as I am sure you're aware, probably swing producers coming to the markets and meet those needs. Although, I'd say in part still make us we prepared to sit on the sidelines during that volatility and perhaps as we've seen in sort of recent weeks have returned to the market. So it's a little bit difficult to balance that, but that gives you some of the factors that are implied. I would expect over time that supply factors would stabilize and supply would be out of respond back to the market, but the demand factors that we've indicated have been stronger than what we are looking at previously.
Operator: Thank you. And we will go to Michael Dudas with Vertical Research. Please go ahead.
Michael Dudas: Good morning, Glenn, Amy.
Glenn Kellow: Good morning, Michael.
Amy Schwetz: Good morning.
Michael Dudas: Very good discussion on met coal supply demand there. Looking internally in your looking to expand some of your productivity initiatives that Australian and you can elaborate on what you are thinking and trying to do there net of inflation? And also in the U.S. how some of the productive you've seen given start turnaround in the company over the last four months and how that can continued going forward?
Glenn Kellow: Well, I think in Australia and perhaps really it's a same in the United States, given that we do try and share operating practice across the operations and we call it the Peabody why, but we do trying outline best practices, monitor performance on a mine-by-mine level and really drive for those operational improvement. So I wouldn't necessarily say the U.S. versus Australia activity. What we've indicated I think the basic strategy has been in terms of operating cost, you've seen us move from getting control of that operations and activity. So the move from miner operator - from contract mine to owner-operator has been one trend. The use of probably, particularly in our surface fleets tools are around operated performance, condition by its monitoring sort of automation of certain processes that continue to drive productivity. Aggregation of complexes I gave you got a deal outline of the why we think about the Powder River Basin I also mentioned Moovale and Coppabella will continue to drive those sorts of opportunities wherever possible. We cut significant amount of overhead that I'm sure you aware of, but you also think something in our mining methodologies as well in particularly proud of the same in the why that undertake surface activities. We also highlighted that North Goonyella been running it is best performance in five years over the last six months. So there is a range of initiatives across the platform. Thanks for that and we are going to continue to try and drive that going forward.
Amy Schwetz: And I would say at the relatively balanced portfolio that we presented in the second quarter there is a great dose of healthy competition going on between our two platforms right now. As it as it relates to the third quarter and that can't be done without intense focus on improving productivity and cost performance.
Michael Dudas: Excellent. Appreciate the color. Thank you. Thank you. And there is no further questions in queue. Mr. Glenn Kellow, CEO. Please go ahead for any closing remarks sir.
Glenn Kellow: Well, thanks for that discussion. I actually started my comments by saying there was a lot to like about the actions of a stronger Peabody and believe we've evidence that here today. We look forward to continuing to deliver value for our shareholders. I would also like to extend my appreciation to all our employees both at the mines and in offices for their continued commitment to ensuring safe and productive environments. And thank all of our current shareholders, potentially shareholders, bondholders, lenders and self-side analyst for your interest in Peabody. We look forward to speaking with you again soon. Operator that concludes our call.
Operator: Thank you. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation for using AT&T Executive Telecom Service. You may now disconnect.